Operator: Good day and thank you for standing by. Welcome to the Frontier Group Holdings, Inc. Third Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is recorded. I would now like to hand the conference over to your speaker today, David Erdman, Senior Director, Investor Relations. Please go ahead.
David Erdman: Thank you. Good morning everyone and welcome to our third quarter 2023 earnings call. On October 19th, we announced changes to our management team and so I'm pleased to introduce today's speakers and their new roles. With me are Barry Biffle, Chief Executive Officer; Jimmy Dempsey, President; and Mark Mitchell, Chief Financial Officer. Each will deliver brief prepared remarks, and then we'll get to your questions. But first, let me quickly review the customary Safe Harbor provisions. During this call, we will be making forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those predicted in these forward-looking statements. Additional information concerning risk factors which could cause such differences are outlined in the announcement we released yesterday -- earlier this morning, along with reports we filed with the Securities and Exchange Commission. We will also discuss non-GAAP financial measures, which are reconciled to the nearest comparable GAAP measure in the appendix of the earnings announcement. So, I will give the floor to Barry to begin his prepared remarks. Barry?
Barry Biffle: Thank you, David and good afternoon everyone. I first want to recap the recent changes to our senior leadership including the promotion of Jimmy Dempsey to President and Mark Mitchell, the CFO. Jimmy will now oversee commercial, customer care, and operations research design and planning functions and Mark will assume Jimmy's former role. Jimmy and Mark have been invaluable members of Frontier's senior leadership team over the years and I'm excited about their contributions going forward. We also welcome Rajat Khanna to Frontier as our Chief Information Officer and Matt Saks as our new Treasurer. Rajat has extensive experience, including IT leadership roles at Lowe's Companies and at United Airlines, and Matt comes to us with significant cross functional experience at Airbus. Please join me in welcoming Rajat and Matt to Frontier and congratulating Jimmy and Mark on their promotions. Frontier has a deep bench of executive talent and we're well positioned to help guide the growth of our airline into the future. Our third quarter results reflect a pre-tax loss of 5%, with non-fuel operating expenses at the low end of our guidance as we continued our rigorous focus on cost management. The quarter was impacted by elevated fuel prices, uneven demand recovery, and uneven industry domestic capacity deployment as well as increased flight cancellations from weather and other operating challenges. Additionally, we observed softer than expected demand in the off peak periods in the quarter. Looking to the fourth quarter, stage adjusted non-fuel unit costs are expected to sequentially improve. We've also seen booking volume stabilize, driven by low fare stimulation, albeit at higher fuel prices. In the 2024, we believe demand pattern will normalize and industry capacity growth will moderate and rebalance across geographies. We believe unit cost leadership will be fundamental to long-term success and we expect Frontier will be the lowest cost provider of a seat in the United States for years to come. Further, operating a high utilization, highly reliable airline will be important to our success and long-term growth as well as delivering a low cost and rewarding customer experience. I'll turn the call over to Jimmy to elaborate on our plan to dramatically simplify our operating model to align with the ULCC best practices and to fuel the next stage of Frontier's scalable growth. Jimmy?
Jimmy Dempsey: Thanks Barry and good morning everyone. I will start with recapping the quarter. Total operating revenue for the third quarter was $883 million, reflecting RASM of $0.091, down 19% from a strong prior year comp on 21% capacity growth and a 2% increase in stage. Fair revenue was $39 per passenger, lower than the $58 in the 2022 quarter, primarily due to the impact the additional capacity -- industry capacity concentrated in certain of our key markets, weakness in the off peak periods, and heightened flight installations resulting from weather and continued challenges in the operating environment. In contrast, ancillary revenue was $76 per passenger, only 3% down from the prior year quarter, demonstrating the resilient nature of our suite of ancillary products and services. While we have achieved the highest utilization in the industry this year, it's been challenging to reach higher utilization due to the post-COVID operating environment, including ATC staffing challenges and reliability that is underperformed as a result. In my new role, one of the primary objectives is to plan and allocate resources to achieve improved reliability, resulting in our ability to operate at high utilization and deliver lower costs. Transitioning to a more simplified operating design will result in industry-leading low costs, higher reliability and the best value proposition in the industry. After careful analysis, we have determined that simplifying our business in a manner similar to European ULCCs will provide improved reliability and enabled the airline to make continued progress toward pre-COVID utilization levels, despite similar operating issues experienced over the past decade. This essentially means returning aircraft to base nightly. As we expect consumers will seek greater value in travel, we recently launched Get It All For Less. As a first step, we've enhanced the Frontier Miles program to be revenue based, rewarding customers for fair and ancillary purchases. We've expanded our elite status levels to incorporate many new features, including waves, change and cancel fees, free bags and seat assignments and a multitude of other benefits. Additionally, elite status is more easily attained, including our gold status after spending just $3,000 on the Frontier Barclay's Mastercard. In the coming months, we expect to broaden and get it off for less to further enhance our customer value proposition. I'll now yield to Mark to provide a financial update.
Mark Mitchell: Thank you, Jimmy, and good morning, everyone. Third quarter pre-tax loss margin was 5.1%, reflecting a challenging environment as Barry covered earlier. Total revenue was $883 million, down 3% compared to the 2022 quarter and fuel expense was in line with guidance at an average cost per gallon of $3.08. Adjusted non-fuel operating expenses were $646 million or $6.66 on a unit basis, 3% lower than the 2022 quarter and an inflationary environment and at the low end of our guidance, reflecting our continued focus on costs. We have the lowest total unit costs in the industry and we are focused on continuing to maintain our cost leadership through high utilization, improved reliability, and simplification of the operation. To that end, we've identified more than $200 million of annual run rate cost savings related to fundamentally changing the way we operate as presented earlier, which we expect to be fully implemented by the end of 2024. We will provide more details as we progress through next year. We exited the quarter with $640 million of unrestricted cash and cash equivalent. As a reminder, we also have access to substantial liquidity through our unencumbered loyalty and brand-related assets. We had 134 aircraft in our fleet at September 30th, after taking delivery of eight A321neo aircraft during the quarter, five of which were financed with direct leases. Two aircraft scheduled to be returned in September were delayed into early October and with another four deliveries expected in the 4th quarter, all financed through sale leaseback transactions, our forecast to exit the year with 136 aircraft is unchanged. Turning to fourth quarter guidance. Capacity growth is anticipated to be in the range of 12% to 14% over the 2022 quarter, on stage length, which is expected to average 950 miles, 8% lower than the 2022 quarter, which reflects network optimization and response today's heightened fuel prices and demand environment. Accordingly, we estimate fuel to remain elevated at $3.20 to $3.30 per gallon based on the blended fuel curve on October 24th. Adjusted non-fuel operating expenses are expected to be between $655 million to $665 million which on a stage-adjusted CASM basis is in line with the prior year and lower than the prior quarter. Taken together our adjusted pre-tax loss margin in the fourth quarter is expected to range from 6% to 9%, which at the midpoint is slightly wider than the third quarter, mainly due to higher fuel expense. With that, I'll turn the call back to Barry for closing remarks.
Barry Biffle: Thanks Mark. I want to thank Team Frontier for staying focused on providing low fares done right in a challenging commercial and operating environment. We're disappointed in our results for the quarter and the outlook for the fourth quarter and we're taking methodical steps to ensure we deliver reliable and rewarding experience to our customers to remain the lowest cost provider of a seat in the United States for the long-term. We believe these steps will position the airline to return to profitability. Thanks again for joining us this morning. We're ready to begin the Q&A portion of the call.
Operator: Thank you. [Operator Instructions] And our first question is going to come from the line of Savi Syth with Raymond James. Your line is open, please go ahead.
Savi Syth: Thanks. Good morning. I was kind of curious if you could provide a little bit more color on demand maybe particularly the peak versus off peak. If I look at your unit revenue, it's similar on a year over year basis to what you're seeing in 3Q. But you do have slower capacity growth and your stage length is, kind of getting shorter. So, I would have thought that that would have been the unit revenue tailwind.
Barry Biffle: Well, the peak periods continue to be more resilient than the off peak. But what we're dealing with is an overall slowdown in demand. Which has been cited multiple times now, since we kind of brought it up over a month ago. We've seen that and that is more acute in the off peak periods. And then we're also seeing kind of an uneven deployment of capacity in the United States. So there's a lot more capacity versus 2019 in the Las Vegas and a lot less in Minneapolis as an example. So, that unevenness is impacting Frontier the most as we study that We're probably more impacted by the unevenness than anybody else in the space. But to answer your question about the peaks, the peaks continue to remain very resilient.
Savi Syth: And if I might just as you kind of look to kind of capacity and your plans here, especially as you kind of restructure the approach, how should we think about 2024, is it still kind of similar to kind of 4Q level of year-over-year growth or should we see that moderating our--
Barry Biffle: So, we did moderate our growth, somewhat in the fourth quarter versus even just a few months ago expectations. And as we look to Q1, which is going to be back to where we see the biggest challenges in the demand environment is in Q1, as I mentioned, off peak is not as resilient as the peak. We are targeting mid-single-digit growth for Q1, but we are maintaining our mid-teens growth for the year. And I think more specifically, we will be targeting growth kind of away from where these places that have been saturated in the more underserved markets as we move into 2024.
Savi Syth: Very helpful. Thanks Barry.
Operator: Thank you. Our next question comes from the line of Duane Pfennigwerth with Evercore ISI. Your line is open, please go ahead.
Duane Pfennigwerth: Hey, thanks. Appreciate the time. If we could just sort of play back, 3Q revenue outcomes and maybe the variance relative to your initial expectations, could you could you maybe bucket what you feel like are contributing factors and maybe one bucket being holding out for higher yields when basically your competitors really went for load and maybe weren't doing that to the same degree? Two, the ops challenges, which you highlighted and maybe you have a sense for how acute kind of the revenue outcomes were in the markets that had had seen those the most? And then three, maybe just some suboptimal network bets that didn't play out the way you anticipated. May maybe there's other buckets, but would appreciate if you could walk through some of that.
Barry Biffle: Well, I think first and foremost, Duane, thanks for your questions. I think number one throughout the pandemic and post-pandemic, we've seen the fall be much stronger than it has turned out. And so that was kind of a surprise for that -- maybe we can call it normal, but I think it was more abnormal, from a downshift than we've seen in a relationship of the peaks versus past. We also did see and it doesn't help, when you've got, maybe one or two carriers that are behind material on load factor in the very large. And their promotional activity kind of did rob a lot of, demand, at a time when, yes, we were planning on getting some bookings. So, that didn't help. But that is normalized now. So, those are two big factors. And I don't know about, our execution, I mean, we chased -- we always chase what we think is going to be the highest margin. The challenge is and we've gone back and studied this kind of after 9/11 and after the Great Recession. And anytime you have a big contraction in capacity and you have a whole bunch of capacity return, it's not all perfectly allocated because different we don't coordinate with other airlines. That's not allowed. And so you've got places like Las Vegas, that they're just saturated. I mean, if you compare the capacity versus 2019, it's up dramatically. And in fact, the occupancy rates midweek are actually down. So, you've got a tough situation contrast that to Minneapolis where you haven't seen even a full recovery. And so when we track airline performance in the United States, it's much closer and much more well explained when you look at the competitive capacity that most carriers are carrying or dealing with in their markets, and Frontier is the most impacted by that. Now, history shows that this typically in six to 18 months starts to correct itself and we'll be eager to see that rebalancing take place.
Duane Pfennigwerth: Appreciate those thoughts. And then just on ops, we heard about this kind of modular network approach for a while. And frankly, there were long stretches of time where your operations were quite good relative. So, I guess what went sideways this quarter, despite the modular design? And sorry if you're repeating it, but what is different about the new approach -- the new simplified approach versus the modular network approach that you talked about in the past?
Barry Biffle: I think the challenge that we've had, Duane is we had great success with the modularity. And coming out of the pandemic, it was great. And we'd gotten to 50% modularity out and back. The problem is, is that the ATC staffing and the delay minutes as an example, we saw a significant increase. I mean, it was something like 10x, the amount of ground delay program minutes that we were dealing with in the system this summer. And so even though we'd gone modular, we didn't do enough. And so when we look at where we are very challenged reliability wise, it is dramatically impacted in the multi day trips. And so where we are at now, we are simply going to deepen the modularity and go straight to a kind of a best-in-class ULCC model of Europe. And we're finally at a size and scale that that makes sense. For us, they have to be a little bigger. If much about Ryan or Wizz, I mean, they can make a base with just a few aircraft That doesn't really work with our reserve coverages in the United States, but we're at the point that we can do that. And so we will be in a situation where we don't have anywhere near the multi day trips and we're targeting in the 90% plus range, by the time we get to spring, which will help us mitigate this. And I'll just give you an example, even with the 50% out and back, we had a situation where we plan for today for tomorrow night where aircraft would be because of the disruption with ATC, we saw consistently over a third of our aircraft not end up where they were supposed to be the fallout side. That has massive disruption to your maintenance plan. It causes you to need excess mechanics. It causes you to need more parts. It's a big step towards the recoverability. So, we feel like it not only unlocks the reliability of the airline, but it unlocks our ability to increase utilization because when we look at Europe, they've dealt with Euro Control in in a tougher operating environment for decades. And that is why we have to adopt that model. It's the only model we believe that is going to work at high utilization in this country.
Duane Pfennigwerth: Okay. Thank you for the thoughts.
Operator: Thank you. And our next question is going to come from the line of Brandon Oglenski with Barclays. Your line is open, please go ahead.
Brandon Oglenski: Yes, good morning, and thanks for taking the question. Barry, I guess if you can step back, what do you tell investors that have been with you since the IPO? Because it's been a pretty tough run here. And if we look at your order book, over 200 aircraft on order yet 130 today, that's a lot of growth the next 10 years. And I know you're pulling it back in the first quarter, but some of it seems like uneven demand off peak weakness fuel pressure APTC delays. They seem to be continuing. So, what structurally changes in the next year or two that gets you back to that pre-tax double digit margin range?
Barry Biffle: I think it's pretty simple. One, I think you're going to see, as I mentioned, I think you're going to see the rebalancing of the capacity in the US. You're not going to have these wild swings, about 20% in one city versus down 15% and others. I think that's going to rebalance and that's going to be significantly beneficial to Frontier in absolute and on a relative basis. I think you're also going to see a shift in normalization and demand. I mean, international is in vogue, but that isn't going to last. And so that's going to rebalance as well. History shows you that. So, that's worth three to four points each. And then we ourselves are going to take our own self help, and we're going to grow away from the from the from the saturations worth several more points. And as we we've laid out, we're going to actually reduce our costs significantly, which is going to drive a couple more points of margin. And that's also going to drive greater reliability, which also increases your revenue. When you're cancelling 2%, 3% of your plights, the costs stay the same, but the revenue goes down. And then obviously, we've got, as Jimmy mentioned, our get it off for less, promise that we rolled out this week, which we think is going to pay massive dividends with the loyalty approach, which happens to be with Barclaycard. So, but we're going to control the things we can control. And, that's going to deliver, profitability. And we believe that that low cost will win.
Brandon Oglenski: I appreciate that, Barry. I mean, are you going through a wholesale change on the network next year? Is that what we should think, like, getting out of markets like Vegas and Florida incrementally?
Barry Biffle: No. We're not getting it. So, let me be clear. We are not getting out and we're not leaving anywhere. But we will concentrate the growth that we plan. So in the mid-teens, it will be away from places that are saturated. It's going to be in places that are underserved.
Brandon Oglenski: Okay. And sorry, I should have rephrased, like, not getting out, but incrementally moving away from those markets with relative new capacity. Is that right?
Barry Biffle: No. No. We are the lowest cost provider in Las Vegas. We're not going anywhere. We do believe that that the industry will probably slow its growth and probably contract there, but we will not be contracting. We will just the growth that we add to the company will be an underserved will not add more capacity to markets that we believe are oversaturated
Brandon Oglenski: Okay. Appreciate it. Thank you.
Operator: Thank you. And our next question is going to come from the line of Michael Linenberg with Deutsche Bank. Your line is open. Please go ahead.
Michael Linenberg: Hey, good morning everyone. Hey Barry, just back to your view on next year, talked about mid-single growth in the March quarter. And then aiming for mid-teens for full year. So you would obviously have to ramp up as we move through the year. Are there any sort of whether it's margin targets or return metrics that you'll have to achieve in order to then sort of green light that type of growth know, maybe it's by the June quarter where you start to ramp up, because I'm sure there's metrics you probably want to hit before you want to accelerate that? Your thinking around that. Thank you.
Barry Biffle: Yes. Thanks, Mike. We're not guiding for 2024 margins at this point.
Michael Linenberg: Okay. Okay, too early. And then, just a question to, Mark, and congratulations on your promotion. I want to go back just on the guidance. You had mentioned that, the pretax margin guide for the fourth quarter versus the third, you said a lot of that had to do with a higher fuel price assumption. Are you assuming sort of similar demand that what we saw in September quarter continues into December. Is that is that is that a fair a fair assumption?
Mark Mitchell: Yes. I mean, I think, as was highlighted in the initial remarks book trends, here to have stabilized. And so what you see in that guide range is primarily the impact of the higher fuel costs.
Michael Linenberg: Okay, great. Thank you.
Operator: Thank you. And our next question is going to come from the line of Stephen Trent with Citi. Your line is open. Please go ahead.
Stephen Trent: Yes. Good morning everybody. Can you hear me okay?
Barry Biffle: Yes. We can.
Stephen Trent: Okay. Sorry about that. I have a little trouble with my phone. And congrats. I share, Mike's comments, congrats to Jimmy and Mark on those new moves. That's great stuff. Just one or two for me here. Could you tell me with your 2024 plan what are your basic assumptions about the Air Traffic Control situation and sort of infrastructure investment in US airport? Any change there or you're assuming everything states as it is now?
Barry Biffle: Yes, thanks, David. Actually, we're assuming it gets worse. And that is why, we had always planned by 2025, 2026 to get to above 80% to 90%, kind of out and back simplified network. But we have to accelerate that. We have we've studied this extensively for now six to eight months. We have studied what how they manage this in Europe very similar situations. And so we believe that, their traffic control gets if you look at the staffing levels relative to the departures, it's going to be more constrained than it is now. And so we are planning around that by ensuring that we no longer have the kind of dependencies and the risk of running multi-day trips that are vulnerable with three to four to five hour GDP programs.
Stephen Trent: All right. Really appreciate that, Barry. And just one other quick question. Could you refresh my memory regarding what percentage of your fuel exposure is West Coast refined?
Jimmy Dempsey: Steve, it's Jimmy here. I mean, it's less than 20% of our exposure covers the West Coast, and we also have an exposure of about 10% or 15% in Denver as well, which is incorporated into that kind of more higher kind of crack spread and higher jet fuel cost. But over half of our exposure to fuel is around the U.S. Gulf Coast.
Stephen Trent: Okay, perfect. Thanks very much, Jimmy. Let me leave it there.
Operator: Thank you. And one moment as we move on to our next question. Our next question is going to come from the line of Helane Becker with TD Cowen. Your line is open. Please go ahead.
Helane Becker: Thanks very much, operator. Hi, everybody, and thanks for the time here. Is there a way for you to quantify what the Barclays card spend is and whether it's up, down, or the same as it was six months or a year ago?
Barry Biffle: We don't actually disclose that, but I can tell you we're very pleased with the performance of credit card partnerships with Barclays. And we are investing significantly in the loyalty, as we announced earlier this week, our Get It All for Less promise includes changes to how people earn on the program, our elite status levels, but also the fact that you can actually earn gold status by just spending $3,000 on the credit card, which unlocks free bags, free seats, no change fees, no cancels, so just a lot of value. And so what we believe is that there is no one in the space that if you travel a few times a year and spend at least $10,000 on a credit card that you earn as much as you will on us in terms of free travel. And when you couple that with what we are doing on the modularity and where we are going to be concentrating our bases, we also believe that we're going to see much more market maturity as we continue to be much more relevant for customers in our bases.
Helane Becker: Okay. That's hugely helpful, actually. The relevance is very helpful. But the question I have about the comment you made on underserved markets and kind of thinking about growing in those markets. I understand why you would want to do that and it makes perfect sense, but do you need to have smaller aircraft to do that because those markets may not be as robust or as demand driven as some of the other markets that you are serving already? I feel like Americans only go to places, right?
Barry Biffle: Well, it's a good question, Helene, but no. look, when you've got the 321neo in our configuration, it provides the lowest seat cost in the industry and it enables you to fly more places, whether it's just a couple times a week for small markets or several times a day. We have an amazing amount of stimulating, amazing ability to stimulate demand. But I think what you should look at is just take the cities in the U.S., take all the airports, and just go in and look at the fourth quarter capacity by city, look how many seats in each city, and compare that to the same quarter in 2019. And you'll see a dramatic, dramatic difference. You're talking probably 30 to 40 points swing between the top and the bottom. So if demand is similar, and you have a 30% swing in capacity, that can be a 20 to 30 point jump in RASM or it can be a 20 to 30 point drag on a relative basis. So, that's what we're talking about when we say uneven capacity deployment in the U.S. And I think you'll find something very interesting if you do that analysis. You'll find that there's a large correlation between the airlines that are doing well and the ones that are doing well and the ones that are struggling margin-wise when you compare where their concentrations are. And that's why we say, and history shows that these things will normalize over the next 6 to 12 months.
Helane Becker: Right. That makes sense. Yes. Okay. That's really helpful, Barry. Thanks for all of that.
Barry Biffle: Thanks, Helane.
Operator: Thank you. And one moment for our next question. Our next question comes from the line of Jamie Baker with JMP -- JPMorgan Securities. Your line is open. Please go ahead. 
Jamie Baker: Hey, good morning everybody and congrats to Jimmy and Matt, Rajat and I'm sorry, Jimmy and Mark, Rajat and Matt as well. It's already been a long morning. Can you update us on CapEx for the next couple of years? Obviously, everybody hoping for a better year next year, but just in the event that 2024 ends up resembling 2023, particularly after you reach a pilot deal, that 2024 ends up resembling 2023, particularly after you reach a pilot deal. I just want to make sure I understand your ability to raise incremental capital. I know you cited the credit card program and IP, so I'm just guessing that liquidity is on your mind as well.
Jimmy Dempsey: Yes, Jamie, it's Jimmy here. Look, it's not a secret that we've spent a lot of time over the years fostering relationships across the leasing community to fund the growth in the business. And, we have about 22, 23 aircraft delivering next year. We have a really good pipeline on selling leasebacks on those aircraft all the way through to the end of next year, but most of our aircraft committed really in the first seven or eight months of next year. So we feel really good about the material capital spend on aircraft assets. The other capital spend that we have in the business is clearly engine shop visits and then just funding the growth in the business, they tend to be much lesser in terms of CapEx spend than the aircraft themselves, albeit the LEAP aircraft is coming in the next few years into its window where you'll see some more engine shop visits develop for those aircraft. And the other thing that we're watching quite closely, although, we're unclear right now is that the impact it will have on Frontier is really what's happening with the GTF. Frontier delivered its first GTF engine in September 2022. We're outside of the initial window where inspections on those engines are occurring at the moment, but we do anticipate we'll have to do some inspections towards the back end of 2024 and into 2025 and beyond. And so, albeit, we think it's going to be a minimal impact on Frontier in relation to how we understand it at the moment, it's obviously a fluid situation. We're watching it quite closely. And so that will determine our spares ratio and various different things, engine capacity in the airline.
Jamie Baker: Okay. So no definitive CapEx guide, but we should be thinking about sale-leaseback activity as we model for that. That's the summary?
Jimmy Dempsey: Yes, I mean, that market has been really good to frontier and it continues to be so. So, I mean, obviously, interest rates are higher and higher for everybody and we operate within that world, but the pipeline of operating leases that we have coming are pretty good. So we're quite comfortable with it.
Jamie Baker: Okay, good. And then second, Barry, you talk about lower ex-fuel CASM next year. What's your confidence on getting there if you mark your pilots to market, and let's just assume you did that on January 1st for illustrative purposes? I'm not asking you to negotiate in public. I'm just asking you to speak to your confidence in achieving lower X fuel chasm after a pilot hit of what's sort of best case scenario, I'm guessing $50 million of annual incremental expense. I'm not guessing, I'm analyzing, but probably a figure potentially north of that.
Barry Biffle: Well, we plan on, as we outlined earlier, we plan on saving over $200 million on 2023 size with the simplification of the operation. So we believe we have adequate capacity to more than cover any pilot labor cost increase.
Jamie Baker: Okay, perfect. Thank you very much.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Andrew Didora with Bank of America. Your line is open. Please go ahead.
Andrew Didora: Hi, good morning everyone. Barry or Mark, maybe two-parter for you. What are the buckets of the cost opportunities within that $200 million that you cited in your prepared remarks? And then, Barry, the road back to profitability or stopping the margin degradation, can it really just be accomplished on the cost side and utilization side, particularly with pilots coming? Or is it really just a revenue issue whereby you just kind of have to rethink your longer-term capacity plans in the high teams? Just trying to dissect those two parts. Thanks.
Mark Mitchell: Yes, so this is Mark. So from, the $200 million that we highlighted, so, broad strokes, as we simplify, the schedule and the operational design, you're going to have, as a benefit of that, lower crew travel, a better ability to utilize reserves, and just, better predictability of people and parts, that are going to drive cost benefits through the organization. And then with that, you're also going to position the organization to drive higher utilization. And so I think that's really the foundation of the $200 million.
Barry Biffle: Yes, and as far as the growth rate, I don't see a challenge with that. I think if you look under the hood, we feel confident with the cost savings that we're going to have, even net of the pilot cost. Like I said, you're going to see the uneven deployment of capacity and the market saturations start to normalize. That's a huge benefit to us. You're going to see the rebalance. You're going to see people come back and travel more domestic than they did on a relative basis to Europe. That's just going to happen. And so those two together are a massive benefit. And then you've got our own self-help that we're going to grow in places that are also underserved ourselves. So I think you couple that with the better reliability, what we're doing with our loyalty on the revenue side, and we believe that we will get back to profitability and get back to great margins, and therefore we don't have a challenge with the broker.
Andrew Didora: Got it. And then Barry, I'm just curious if you have any updated thoughts. I know there have been continued articles out there in the press just with regards to the government and kind of the excise tax on ancillary revenues. How do you think that plays out? And at what point, what would trigger kind of a change in terms of how you account for that? Thank you.
Barry Biffle: I didn't see that. I apologize, I didn't see the article that he's referencing. But what specifically would you see?
Andrew Didora: Just the excise tax on ancillary revenues, the potential of putting tax on that stream of revenue on that.
Barry Biffle: Oh that's, yes, so that actually has been out there for a long time. And I think there's really good, I think, kind of precedent on this that goes back, I think, to the 1950s, actually. So, look, if it's optional and it's not part of the core service, I think the statute was very clear.
Andrew Didora: Okay, thank you.
Operator: Thank you, and one moment for our next question. And our next question is going to come from the line of Conor Cunningham with Melius Research. Your line is open. Please go ahead.
Conor Cunningham: Hi everyone. Thank you. A couple questions on revenue. There's been a lot of discounting happening right now in the U.S. domestic market. As you run fare sales, I'm just curious if the uptake rate has been any different than it has been in the past. Just trying to understand the difference between load factor and so on as you kind of go forward. Thank you.
Barry Biffle: I'm going to let James Finner [ph], our Vice President of Revenue Management speak to that.
Jimmy Dempsey: Yes. As we look at the results, certainly we saw a bit of a slowdown in the second half of August and the September, but we've been pleased with the results as we've continued to run promotional activity through the last six, eight weeks and are optimistic as we see a trend, activity through the last six, eight weeks and are optimistic as we see a trend, particularly for the peak period, as Barry mentioned, are more resilient here in the fourth quarter. We believe low fare stimulation is fundamental to run the ULCC and remain focused on that.
Conor Cunningham: Okay. And then on these new markets that are underserved, when I think about that, I kind of think that they're underserved for a reason. So as you guys look into those markets, is your expectation that the spooling period is going to be a lot quicker than it probably has been in the past? Just trying to understand if there's going to be a drag on RASM as we start to add these new markets and so on, because new market development tends to be at the margin to live, just trying to understand that. Thank you.
Barry Biffle: Well, so yes, I've read some things about this. I think there's some misunderstandings in the marketplace in this. So when you're always growing, right, you always have a percentage of your airline that's immature. And that is kind of a permanent, if you will, kind of degradation to your RASM that you take on. And this is why some airlines you see, and there's one in particular you can go look at, that stopped their growth this year and people have slowed it down or even contracted and they've popped the RASM. The challenge with that is it's temporary because once they go back to growing, they take the drag on RASM. Now in our case, what we're seeing is that, yes, new growth in the oversaturated market I'll continue to use Las Vegas as an example the new growth is actually not performing at levels that we're accustomed to, but we're also seeing our mature markets seeing significant incursion and reduction in RASM on mature markets. So, I think there's this confusion about it that it's the growth that's the problem. It's not our growth that's the problem. It's the uneven deployment of capacity into a lot of our core markets in Las Vegas and certain Florida markets as an example that has caused the degradation.
Conor Cunningham: Okay. Thank you.
Operator: Thank you, and one moment for our next question. Our next -- our last question comes from the line of Christopher Stathoulopoulos with Susquehanna Financial Group. Your line is open. Please go ahead.
Christopher Stathoulopoulos: Hi, good morning. Thanks for taking my question. So, Barry, your prepared remarks. You spoke about your belief that industry capacity is going to rationalize next year. And there are fewer carriers today in the US than there were 10, 15 years ago. So perhaps less of an opportunity here for some irrational behavior. But the marginal cost per seat is such where well capitalized carriers can continue to add inventory into the market here. So just help us, or if you could kind of explain your view there, particularly when we look at Southwest this morning, looks like their order book is growing, and of course you have a full order book. So just kind of want to better understand the comments around it. I appreciate the history and analogy, I think, to Europe, but here in the US here is perhaps a little bit of a different dynamic. Thanks.
Barry Biffle: We're less convinced of the overall capacity and we'll let those bigger airlines decide what they think is the right amount of deployment. What we're seeing week after week in the schedule change adjustments and some of the most recent commentary is expectation for their capacity deployment is coming down, down, down. And we're seeing it, for example, we've seen attrition in pilot rates slowing down as a result because they're slowing down their hiring of pilots. So evidence that the big airlines are actually slowing down their capacity. What I was really more referencing was not the total capacity, however. And I was talking about the unevenness of the capacity deployment. And ultimately, if everyone showed their cards, I think you would find that some of the oversaturated Las Vegas and oversaturated Florida markets, it doesn't matter who you are. The route P&Ls on those routes, regardless of airline, are probably a little bit under pressure. And so we see that capacity being redeployed at a minimum, and possibly in some cases, just eliminated. So at best, they maybe retire the aircraft, but at worst, it's just get redeployed. So that unevenness will get itself sorted out, and that's really what I was referencing, not total capacity.
Christopher Stathoulopoulos: Okay. Thank you. And then the comments for next year, and thinking about capacity allocation, to be clear, you're not arguing around a wholesale change here to some of your core markets and you're looking at some of these underserved markets, which to the earlier question comes with its own set of challenges. But if we take a step back and think about your net route growth next year, so with no wholesale change to markets like Vegas and alike, and these new underserved markets, just if there's a number of, or kind of directionally how we should think about your net routes for 2024? Thank you.
Barry Biffle: I don't think that the overall routes is going to change that much. And I think when you look at, the percentage of our capacity that's in immature markets, it's hovering around 10%, and it could go a little closer to 12% with some of the new markets. But when they're in underserved markets, we think that that's going to do really, really well. But it probably wants to be a little more when we look at, kind of the underserved places.
Christopher Stathoulopoulos: Okay, thank you.
Operator: Thank you. And this concludes our question-and-answer session for today's conference. And I would like to hand the conference back over to Barry Biffle for any closing remarks.
Barry Biffle: Yes, well, thank you everybody for joining and we look forward to updating you at the next quarterly call. Thanks everyone.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.